Executives: Roddy Child-Villiers - Head of Investor Relations Paul Bulcke - Chief Executive Officer, Member of Executive Board, Director and Member of Chairman's and Corporate Governance Committee Wan Ling Martello - Chief Financial Officer, Executive Vice President and Member of Executive Board Doreswamy Nandkishore - Executive Vice President of Zone Asia, Oceania & Africa and Member of Executive Board Marco Settembri - Executive Vice President Chris Johnson - Executive Vice President, Zone Director for United States of America, Canada, Latin America & Caribbean and Member of Executive Board Patrice Bula - Executive Vice President of Strategic Business Units, Marketing, Sales & Nespresso and Member of Executive Board
Analysts: Celine A.H. Pannuti - JP Morgan Chase & Co, Research Division Alain-Sebastian Oberhuber - MainFirst Bank AG, Research Division Jon Cox - Kepler Cheuvreux, Research Division Irene Ho Warren Ackerman - Societe Generale Cross Asset Research Robert Waldschmidt - BofA Merrill Lynch, Research Division Patrik Schwendimann - Zurcher Kantonalbank AG, Research Division
Roddy Child-Villiers: Good morning, ladies and gentlemen. Welcome to our full year results conference here in Vevey. This conference will be held in English, but you can also follow it in French or German using the headsets provided. Or if you're following, watching the webcast, you can choose the right language by clicking on the respective link on the webcast page. Now let's start. As usual, we will take this slide as per read. Paul, you have the floor.
Paul Bulcke: Now thank you, all. Thank you. Good morning, all. Welcome to our full year results conference. And I must say, thank you for your interest in our company, the people here in person, also the people listening in via the phone and also the webcast, so good morning to you all. I have here on the podium with me, Wan Ling Martello, our Chief Financial Officer, who shares this podium with me. I have also the whole Executive Board here in front, in the first row, so -- and for the first time, for the full year results conference, we have Stefan Catsicas, our new Chief Technology Officer; and also, Marco Settembri, Head of Nestlé Waters, who took over in December of last year; Peter Vogt, also the first time for the full year results, our Head of Human Resources; and Martial Rolland, who is responsible for Nestlé Professional. They will join us for the question-and-answers. As you have seen, and you have seen the results this morning and Wan Ling is going to give more details, but let me very fast give some comments on them. These are a good set of results. They're a solid set of results, operational results for the year. We can talk about the macro environment that was soft, a soft growth, actually below recent levels in emerging markets, and I would say, minimal or no growth at all in the developed markets. And our response to that has been to accelerate, actually, our innovation drive. I have been speaking about innovation every time I have been talking to you, but we have accelerated that. And in fact, 2013 has seen an incredible number of new products and the rollouts worldwide over. We have increased, combined with that, our brand support, and that's very important. And we have considerably increased our brand support because that's the link with consumers, and in difficult times, that's the right way to do it. And also we have assured that our pricing was reflecting the consumer needs in this environment. So we had a substantial sorts of pricing. And that all gave us impetus, and what you've seen is that our real internal growth has gotten more momentum. And that, together, combined with our structural and our cost savings efficiencies, has enabled us to, yes, indeed, again, to deliver margin improvement and also a very strong cash flow. So we also intensified our portfolio management. We have been talking about that in recent times, and more specifically, the last time I was sitting in front of you. And we have done that by, yes, indeed, putting the right resources and the people behind the right ideas, but also by defining and reinforcing our strategic direction, that is all about Nutrition, Health and Wellness. And a few years ago, we have also started with Nestle Health Science, where we spoke about extending the boundaries of nutrition. And a few days ago, we communicated to you, we have shared with you also the creation of Nestle Skin Health S.A. by bringing in the 50% stake of L'Oreal, of Galderma, into Nestle. And that's, again, a very important step in the definition of enhancing quality of life, which is all about Nutrition, Health and Wellness. But we -- what we are doing there is -- for Nestlé, is extending the boundaries of health and wellness. And we can talk about that later. It's a major, major platform of growth for the future. That is a few introductory remarks. And Wan Ling, I hand over to you to comment on our results of last year.
Wan Ling Martello: Thank you, Paul. Happy Thursday to everybody here, as well as those listening in. I am going to touch on those highlights Paul has just mentioned, adding more detail. I will take you through our income statement, our cash flow and operational performance before handing it back. So on this slide, which is 2013 full year highlights, you will see that we have -- it was a challenging year around the world. Our strong RIG of 3.1% reflects our commitment to be competitive in an environment of generally soft commodity costs and also of subdued consumer sentiment. We have grown. And we have grown, thanks to keeping in touch with our consumers, delivering products that are not only nutritious, great-tasting, but also affordable. And we have done so by focusing on efficient operations and profitable growth, reflected in our increasing trading operating profit. This margin improvement was delivered while we sharpened our competitive edge by increasing our investment behind our brands. You will see on these following slides how our continued investment in marketing, paired with innovations and excellent execution in the markets, contributed to our 2013 performance. Our operating cash flow remained very strong at CHF 15 billion. This was a great year, with a further reduction in working capital, especially coming on top of the exceptional performance in 2012. Finally, our underlying earnings per share were up 11% in constant currencies. I will now take you through some of the key elements that helped deliver this, but let's first take a look at the evolution of margin in more detail. As I said at the half year, we have experienced a soft cost environment, generally in our raw materials. And we have been disciplined in delivering efficiencies from our operations. NCE, Nestlé Continuous Excellence, once again delivered over CHF 1.5 billion and contributed to a 70-basis-points decline in the cost of goods sold. Distribution costs fell by 10 basis points, and admin costs also fell by 40 basis points, reflecting structural efficiencies, including in our pension plans. We continue to invest substantially behind our brands, increasing the total marketing spend by 60 basis points, with consumer-facing spend up 16% in constant currencies. Our digital spend was also up, up 40%. Our net other trading expenses increased by 40 basis points, and this was mainly due to restructuring. Overall, we compensated for the many external events around the world that are expected to be part of doing businesses in about 190 countries. We increased our brand support and had a higher level of restructuring, while also increasing our margin. Our trading operating profit was CHF 14 billion, and the margin was 15.2%, up 20 basis points reported and up 40 basis points in constant currency. As a footnote, I know many of you still benchmark us on the old -- on the previous EBIT margin level. There is a better improvement at that level, 60 basis points before currency impact. So moving on to the next slide to complete the income statement. You can see here the net other operating expenses were up by 90 basis points, and this was due to what Paul mentioned, our intensified portfolio management. Taxes were in line with our guidance of 27% to 28%, with the underlying tax rate of 27%. And underlying earnings per share in constant currencies were up 11%. Looking at the group's operating cash flow, it remained very strong at CHF 15 billion. As we commented in February of 2013, the remarkably strong performance we saw in 2012 was likely not to be repeated. However, the discipline across the organization in managing all aspects of working capital contributed to the positive trend, as you can see on this chart. That completes my review of the group numbers. Let me now move to the review of the businesses, starting with our regional growth. First, let me highlight that we have again achieved growth in both our emerging and developed markets. The emerging markets had an organic growth of 9.3%, now representing 44% of the group's sales. The developed markets grew organically at 1%, but our RIG was, in fact, higher at 1.9%, which I think is very, very impressive. Despite the differences in trading environments across the 3 regions, our markets have performed well and have delivered a positive, and in many cases, accelerating RIG performance. Moving on to the growth story in more detail, let's have a look at the zones and globally-managed businesses. They all delivered positive organic growth, as you can see here, with most also having a solid RIG performance. Looking more specifically at the Americas, the region finished the year broadly in line with how it started. A key part of this was the steadily improving RIG momentum in the second half, especially in Latin America. The zone's growth was delivered in an environment that remained subdued in the North and in an environment that deteriorated in Latin America. In North America, there was a continued decline in the frozen food category. Among our portfolio, Lean Cuisine suffered the most. Having said that, Stouffer's had a positive growth, benefiting from our focus on improved ingredient quality. We dramatically reduced our SKUs in Hot Pockets, while driving the brand's growth. And both DiGiorno and JACK'S pizza brands were able to gain share in the declining category. We have worked hard to strengthen our whole portfolio through innovation, such as DiGiorno Pizzeria, Butterfinger Cups in confectionery and Salad Additions for Lean Cuisine. Equally, there have been innovations in the premium -- on the premium side, sort of creating moments of affordable luxury. Häagen Dazs Gelato ice cream for me and you which, I can personally vouch, is super yummy, as well as things like Fancy Feast for cats. You should try the Gelato on our U.S. -- Fancy Feast -- on our U.S. road show. The Gelato ice cream, not the thing for cats, not Fancy Feast. PetCare North America came under pressure, not only because of our Waggin' Train withdrawal, which we talked about during the year, but also due to intensified competition in some dog segments. Even with those 2 headwinds, PetCare delivered positive, well-balanced growth. So let -- now let -- moving on to Latin America. Dairy had good momentum throughout the year. I've talked about Acticol, if some of you remember, in our previous calls. It's a cholesterol-reducing product in dairy, and I'm happy to say it continues to do well. Chocolate, which is our second biggest category in Latin America, ended the year with double-digit organic growth. Nescafé Dolce Gusto was a particular highlight across the region. And in Mexico, we have adjusted our coffee portfolio to remain in touch with our consumers' needs with the rollout of 3-in-1 and by ensuring affordable price points across the Nescafé range. Brazil continued to be a highlight for the region, with good performances by adult -- in adult cereals and Nescau. PetCare had double-digit organic growth in Latin America, well-balanced between pricing and RIG. Dog Chow and Pro Plan were among the main highlights. Moving on to Europe. Trends there were unchanged, but we delivered positive RIG. Our negative pricing reflected the deflationary environment seen across the region and our commitment to be price-competitive for our consumers. Looking at the zone from East to West. The standout performer was Russia with double-digit RIG. This was driven by soluble coffee; confectionery, especially Kit Kat; and ice cream, mainly due to PPP, which is our peelable banana, Mövenpick and our premium cones. The rest of Central and Eastern Europe faced difficult economic conditions, especially Ukraine and Poland. Western Europe saw standout performance from Britain, the Netherlands, Belgium and Austria. The continued investment behind innovations, such as Nescafé Dolce Gusto, Nesquik Opti-Start and in the Maggi range, contributed to our growth. Germany did have a difficult year, especially in ambient culinary. France faced tough comparatives from last year and sluggish market conditions. Southern Europe remained difficult, as consumer confidence continued to be low. To finish Europe on a high note, PetCare delivered strong growth across the zone, driven by Felix, Pro Plan, ONE and Gourmet. The highest growth rates were in Russia, in France, as well as in Germany for PetCare. Next up is Zone AOA. It ended the year stronger than the first half. This was mainly due to the continued rollout of innovations, together with brand support. Increased momentum in both RIG and price contributed to organic growth of 5.6%. This performance is good, given the political and natural challenges the zone faced in 2013, on top of the economic slowdown across the emerging markets. It also reflects our ability to build competitiveness in a deflationary environment, demonstrated by overall market share gains. Many emerging markets delivered double-digit growth, most notably in Africa and Middle East. China did slow down, but held or grew market share in most categories. Ambient dairy delivered excellent results, including adult and senior nutrition in China. There were good performances from Nesvita, Yiyang, and the premium Yinlu congee, and in Indonesia with Bear Brand. Returning to the zone, Kit Kat and Milo had double-digit growth, and Nescafé Dolce Gusto continued to be one of the biggest growth drivers in the zone. Soluble coffee saw intense competition throughout the year. Our response has been to invest behind innovation and to continue our brand support, and to make sure we win this 60-40 taste preference. In the zone's developed markets, we saw trade pressure in Australia. Japan, though, continued to be the bright spot where Kit Kat and our coffee systems are doing especially well. This was due to innovative market execution and the way they have embraced digital. Moving now to our globally-managed businesses, starting with Nestlé Waters. Nestlé Waters delivered growth across the world despite pricing pressures in Europe and North America, and a market slowdown in AOA. Our international sparkling brands, including Perrier and San Pellegrino, gained share. Nestlé Pure Life, which is now the world's biggest water brand, continued to grow well in the emerging markets. Nestlé Nutrition. Nestlé Nutrition grew at 8.2%, the main driver being double-digit growth in infant formula. The integration of Wyeth Nutrition has gone extremely smoothly and the business performed well. Our infant cereal business also had a good year, a highlight being Brazil with our MUCILON brand. In our other activities, Professional did have a challenging year, and that's because of out-of-home environment in both Western Europe, as well as Asia. Nespresso had another strong year of growth. All its core European markets and the Americas contributed. Nestlé Health Science had a great year, had a good growth. It also continued to build on its ambition to offer nutritional solutions that address disease and health conditions. And the acquisition of Pamlab strengthened its capabilities in the areas of both brain and metabolic health. Let us now turn to trading operating profit. The zones' margins reflect an increased level of restructuring, as well as a higher level of brand investment, partly compensated by NCE, which is Nestlé Continuous Excellence. There was good margin improvement in our globally-managed businesses. Nestlé Waters' improvement came mainly from efficiencies in manufacturing and packaging. Nutrition, on the other hand, benefited from the mix effect of strong growth in accretive infant formula, cereals, among other categories. Now a very quick look at the product groups. The profile of RIG and pricing, as you can see here, is similar to that of our zones', with the exception of prepared dishes and cooking aids where RIG remained flat. Powdered & Liquid delivered a RIG in line with what we've seen earlier in the year. Here I'd like to take a moment and highlight the 75th anniversary of Nescafé, today, present in over 180 markets. We are investing significantly in this celebration, including a new logo, new communication. Consumer-focused innovation has always been central to Nescafé's success, and we have a strong plan of rollout in 2014. Following that commercial break, let's continue with our other categories. Dairy and ice cream saw improvements in both RIG and pricing during the year, delivering its strongest RIG performance since 2011. Prepared dishes continues to have its challenges and its RIG remained flat. Ambient remains our strongest performer, with frozen under pressure. Confectionery's RIG was driven by Europe, with particular highlights in Russia and the U.K. and Latin America. And the RIG for PetCare accelerated, with especially strong performance in Europe and Latin America. Looking now at the product group margins for 2013. Powdered & Liquid Beverages margins was up 70 basis points. The category benefited from a soft input cost environment, as well as operational efficiencies. It also increased its brand investment. This category has been called out by some of you for its low growth in 2013. This was partly because the category had no need to take any price. Here, you see the other side, the flip side of that coin, a big increase in the margin. Milk products and ice cream had higher commodity costs in the second half, and we continue to invest behind our brands. Ice cream continued to improve its margin. Prepared dishes and cooking aids margin was down 90 basis points, as we increased consumer-facing marketing spend on a global basis and implemented restructuring in North America, as well as in Europe. Confectionery's margin decline of 100 basis points was mainly due to increased marketing spend, as we discussed in the first half. And finally, PetCare. The 60-basis-points decline is entirely due to Waggin' Train impact. We also discussed this at the first half. The impact was somehow mitigated by a good operational performance. So to recap, despite the many headwinds we faced in 2013, we grew. We grew in all of our businesses and regions. We increased our brand support. We intensified our portfolio and our cash management. We delivered an improvement in our trading operating profit margin. We improved working capital and delivered strong operational cash flow. We increased our underlying earnings per share in constant currencies. And finally, we are proposing a dividend increase to CHF 2.15 per share, which is up CHF 0.10. With that, I would like to hand it back to Paul who will give you the strategic context of our 2013 performance, as well as talk about how we're shaping the company for the future.
Paul Bulcke: Well, thank you, Wan Ling, and it is promised, we're going to have a Gelato next week when we we're over there in the U.S.A. But I would say these are good results, solid results. And they come on top of good results in the past. And I want to walk you through what is actually driving, what has driven, is driving and will drive our performance over time, and what did it also last year. And it is linked with, I would say, a very strong strategic direction that you see actually here in this chart. A strong strategic direction that is aligning our whole organization behind the right drivers and initiatives, and that converges then into solid results over time. It creates value for our company. You see it first, and I have shared this roadmap with you a year -- for several years, and that's the strength of the roadmap. We always challenge you to check it over time, but it is consistent over time. It is valid over time, and that is what strategic direction should be. We have also defined our priorities, and then -- and the priorities are guiding us, basically, to face the tough environment we have been living in for 5 years, each year with its own characteristics. Last year, it was, yes, indeed, softer growth and less pricing potential. But there, each year had its challenge, and we have picked up our priorities. It is linked with making choices. This is linked with seeing opportunities in the market in spite of being hiding [ph] behind lots of challenges. It is linked with also -- and defining very clearly, in commercial and marketing terms, what the consumer values means also taking out what consumer doesn't value. It is linked with also engaging with society. The link with the company and society that we have structured in a way that is really meaningful and is captured by society in a meaningful way. Hence, also the value that the society and the different stakeholders give to many, many initiatives, be it the Cocoa Plan, be it the Nestlé Creating Shared Value concepts, being how we link up with the local communities. It's increasingly important in a society that is asking from companies to link up with them in a constructive way. We have embraced digital and what digital does in all aspects of our commercialization, and also how we handle our relation with consumers, and then also having the best people. And that, I think, that's taken for a given. It is not a given. We drive or attracting, retaining, training, motivating our people and also aligning them behind the right things. And last -- the last year, we spoke about focus areas. Focus areas are default [ph] considering the intensity of the actual, new reality that we have to focus on, and that is linked with strengthening our portfolio. And we have been talking, sharing with you this portfolio management, how we go about that. It's not only management, but also doing something with that. And we have done quite a few of these things and also allocating resources and mastering complexity. And it is this combination, this consistency of roadmap, or this combination of priorities and focus areas, and driving that through the organization with the same discipline that we have here in the Executive Board, but driving that through to all ranks of the organization, to all geographies, it is the strength of this company and it is what is behind strong figures. So let me now share with you a few dimensions of it that is actually, in my eyes, the most relevant drivers of success in the days of today. And the first one is, in fact, the Nutrition, Health and Wellness agenda. It is the core of our strategy. It is what we are all about as a company. It is one of the strongest value drivers, explained and expressed in profitable growth that is behind our success and our results. It is actually driving competitive advantage for our brands. And you see how we go about this Nutrition, Health and Wellness. It goes through our food and beverage portfolio of products with specific aim at nutrition, Nestlé Nutrition, that is translating specific nutritional needs of people like infants, et cetera, into meaningful products. It is linked with our setting up of Nestlé Health Science a few years ago, as I mentioned before. And now again, it is linked with setting up Nestle Skin Health through the taking of Galderma. It is indeed the most strongest and most valuable value driver, expressed in profitable growth and margin increases that we have, Nutrition, Health and Wellness. And that is linked with also trends in society, the population growth, middle-class building up in emerging markets. It is linked with the aging population. It is linked with consumers that are more aware of the nutritional dimensions in their lives and what that means for the quality of life. And that linking up of all these different dimensions is what Nutrition, Health and Wellness is all about. We are indeed about giving our consumers best-tasting products with nutritional profiles in each of its categories, and that is driven through different dimensions. It is driven through products and R&D. And I cannot stress enough the importance of our 60/40+. It is something we have been talking about for quite a while, and sometimes, we forget. But that is the most important tool and mindset that drives the Nutrition, Health and Wellness agenda in this company. It is bringing to what we are, and the brands we have and the products we have everywhere in the world, these arguments and these benefits. And it is something that there's just quite a lot of our portfolio. I have been saying that we want to churn our portfolio, each product, each brand everywhere, wherever in the world, through that process of checking on taste and be preferred in taste, and yet, at the same time, having arguments on Nutrition, Health and Wellness. And that is a tremendous effort where quite a lot of our R&D is going at. It is this permanent momentum that gives the arguments to our product of portfolio and our brands and it gives our competitive advantage. Last year, we have reformulated just like that, 8,000 products, just last year. And if you add it all up, 1/3 of our products is actually in that process. We have spoken about micro-nutri -- fortification, micronutrient fortification. It is going on continuously. Last year alone, we have delivered 170 billion servings of micro-fortified products in the world, again, because we have all these products that are potential carriers of these micronutrients. It is a part, an intrinsic part, of our agenda and of also Creating Shared Value as being a positive part of society where you have these deficiencies. And we can do it in a normal, in a natural way. We don't -- we can build it in, in the normal diets of the people wherever they are. We have also redefined our commitments to the levels of salt, sugar, trans-fatty acids and also saturated fats. You'll find them on the website, they're very public. It is something that is committing us towards society. It's committing our portfolios towards these targets. And it is actually driving and, again, it is conditioning us. Our commitment is to be fulfilled, and that is driving also quite a lot of the innovation, quite a lot of research and development to deliver these dimensions. It is framing our portfolio quite drastically. What we have started also, and very important for the future, surely, is studies. Knowing what people eat, and more specifically, knowing what kids, infant eat, because a healthy life starts with a healthy youth, childhood. And we have done studies in the past. We're extending them now where we call it the FIT study, which is Feeding Infant and Toddler study that we did in Europe and the United States, which is going after what do kids from 0 to 4 eat really? And we have extended now these studies who are standardized so that we really can use it and also share it with authorities. We have now rolled it out in Poland, Russia, the United Arab Emirates, China, Mexico, and rolling it further out. So that's going to give us a mapping of knowledge that we're going to share. But it is also something that is going to learn how we can also gear our portfolio towards that part of such an important part of our society. We're additioning [ph] and complementing now these FIT studies, as we call them, with the Kids Nutrition and Health study that goes to children from 4 to 12, and rolling that out. Last year was the first year where we rolled it out in United States. We are in preparation now for Mexico, China and Australia and France and the Philippines. And there's a complementary study to the FIT study where we're going to know then, from 0 to 12, what do kids eat, and what is -- what are their behaviors? What is their diet? And it's different in each country and each region, so it is to be mapped worldwide, but it's going to give us a very broad view. It's going to give us also a bridge of relationship with authorities who are caring for health in society. We do care, too. And that is going to be shared also then in our R&D system to really guide our innovation that is gearing products that are more specific to the specific nutritional needs of this part of the population. Another part of Nutrition, Health and Wellness is communication. And again, there, very simple straightforward things. We have been talking about nutrition, our nutritional compass, which is putting together different dimensions, like the nutrition table, the ingredients list, et cetera, in a meaningful way so that our consumers can connect with us. And that is almost in all our products now. It rolled out worldwide. We combined that also with the guideline daily amounts, the famous GDAs, that we do have now in more than half of our products worldwide. GDAs are basically framed in certain areas or certain geographies or are regulamentated [ph] or -- we are rolling them out because we feel it's a meaningful way again of connecting with consumers and allowing them to have responsible, meaningful choices for their diets. So that is now, worldwide, rolling out and we have the intention to roll it out to 100% of our products. We have websites. We have intensified our call centers, linked to digital too, and social media apps are rolling out, all this to connect with consumers so that they can know what our products are, what they -- how they can fit them in, in their normal diets. So it is definitely the Nutrition, Health and Wellness our group's strongest, strongest growth platform, profitable growth platform that we are embracing. Another growth platform that is combined with this is premiumization. And premiumization is expressed in defining more nutritional benefits. It's defined in permissible taste. It is linked with systems. It is linked with services. It is increased personalization. It is premiumization in different aspects that creates value also for our company. And it is clear that Nespresso is our best example. It is used and abused, and it's going well, and we are pushing very hard the rollout worldwide of this fantastic concept that is, yes, is indeed, through its success, inviting quite a lot of other players, and that is what is motivating to us. We had exactly, last year, again, a very good growth, and we are all focusing in continuing doing that. Other examples though are PetCare. Actually, the whole PetCare success that we have, that we see now reflected also in Europe and Latin America, and starting to gain momentum in Asia and Oceania and Africa, too. That is innovation based on premiumization. And it is really linking the proposition of Purina towards added value, nutritional benefits. We have also Perrier, 150 years of Perrier was celebrated with bringing Andy Warhol back and having a limited-edition of pop art bottles and cans. That's a certain way of premiumization on premiumization. Perrier's a premium brand. We have also Kit Kat Japan, for example, is a good story. Kit Kat Japan is -- well, Japan is a country where we are growing quite vigorously this year. It's not an environment where growth was natural, and we are growing. And there's times too we're seeing our business from different angles. Kit isn't[ph] Kit Kat is not a Kit Kat, and they have really premiumized this product very, very, very strongly in Japan, and it is growing. It is part of the Japanese landscape. They opened a boutique where you have to queue for 3 blocks to get in. Just this intrigue of a brand and how you can make a brand that we've all known for over 75 years, how you can really re-energize that through premiumization. But also normal other products, Nestlé and Nesquik. Nestlé Nesquik, which has been reformulated with less sugar, and with also the Opti-start, which is a new branded active benefit that is combining vitamins and minerals to give nutrition and -- nutrient support to kids has been relaunched in Europe and has been growing very vigorously. It's part of the growth in Europe, is ideas like that combined with others. The nice thing about premiumization is, this is not only for the big megacities in the developed world. This is also working very, very well in the developing world. Remember, an emerging middle-class is allowing premiumization in these areas of the world, too. That's why we spoke about managing the extremes, premiumization and also the emerging consumer. Well, with that, so we have this Nutrition, Health and Wellness, and our premiumization. We combine that, and it is the combination of things that helps us to have the dynamics in our results. It is the combination of Nutrition, Health and Wellness, combined with the premiumization, but rolling that out through the whole portfolio of Nestlé, that combination, the whole portfolio of Nestlé which we can be part of people's lives everywhere in the world, every moment of the day, every moment of his life. That is what drives the success of this company. That is why we are decentralized, because these portfolios have to be managed locally, translated locally, although with global concepts, but translated locally. And that strength of that portfolio and these brands is combined with the innovation -- innovative drive behind Nutrition, Health and Wellness, and premiumization is what drives it. Innovation, I spoke about innovation. I'm going to not drag long on this. Our R&D is set up that we have reinforced it last year. R&D is where we don't save money for saving money or cutting cost. We have invested more. We have invested in our PTCs and research centers all over the world, stronger [indiscernible] with our system technology center in Singapore and others. And as I mentioned before, 2013 has been the year of record for innovation. And many of them are still to be rolled out much broader and getting more noise. But we have things like Maggi Tender Papyrus in Europe, one of these other elements why Europe is growing. A new concept, a special cooking paper where you don't need to add fat and oil to cook very, very tastefully. We have, for example, Nescafé Arabiana in the Middle East, which is a typical Arabic coffee, projects an[ph] instant coffee, how you combine localness, again, with global ideas. We have a special tea that we start launching now also in Japan, and I really see there lots of upside, rolling out of good ideas. We have Butterfinger Cups that we launched in the -- over a few weeks and got quite a lot of noticeability. So 30% of our sales last year was actually linked to innovation, renovation in the last 2, 3 years. So innovation, renovation is, again, very strongly behind that. And our portfolio is also managed through mergers and acquisitions. And you saw Wyeth Nutrition that we bought a little bit over a year has been now embedded very, very well into the Nestle organization. It has delivered on its promise. We've -- it has delivered on its promise. And you remember that we said also always, acquisitions are linked with -- it has to make strategic sense. Definitely, it is complementary on platforms. It has delivered on business, and it has actually outperformed our expectations there nicely. And it has also delivered in being so compatible with our value cultures of this company. So a very good experience there and really, really motivating. But we have others. We had also Petfinder, the world's largest website for pet adoption, which it's showing again Purina of being not -- where Purina is not about pet food, it is about pet care. And how we again, through added-value services, are creating premium on top of the normal offerings. Pamlab is another acquisition that we did, that gives us capabilities in the United States, connecting through offerings of medical food with a world that we are exploring in an intensified way. Sometimes, you have to depart from certain brands, certain products, and we have done that, too, they -- when they don't really fit strategically or they don't give us a business enjoyment. We said we have several dimension, but we have then to divest and we have done that with Jenny Craig, which was a sizable one, and also with PowerBar that was announced. But that allows us then to put really the people and resources behind the right things that are working for us, and that is what we did. And de facto our SKU management is the same thing, getting rid of SKUs that don't work. And last year, again, we did a cleaning of more than 10% of our SKUs, so that we can really get -- put the right resources behind the good SKUs and that worked well for us, and also the innovation. And again, speak about the strong portfolio. That is driven by innovation, that is driven by putting resource behind the right things, that is driven by mergers and acquisitions. It has to be combined also, again, with our geographic footprint. A strong portfolio, a broad portfolio has to be combined with a strong geographical presence. We do have that portfolio, not by adding parts worldwide. We do have a strong portfolio everywhere. And that is, again, a strength that we have, how we link up with our consumers everywhere. And we have been there for many, many years. And linking up with consumers, brand links is emotional I know it works and accumulates over years, and we have been there for so many years. It allows us also to be so decentralized because we do have momentum. We do have minimal sizes in all the markets that we are operating in. And you see that we are, indeed, an and[ph] company. And this is a combination, as I said before, of added value through Nutrition, Health and Wellness, driven by innovation, renovation, having a broad portfolio of brands and products, having the geographical presence that we have. That combination allows us to grow every end of the world. And you see it, again, we have grown in the emerging markets with -- which is 44%, 45% of our total Nestlé sales, has grown 9.3% last year, and that has been -- we have de facto, as a fast-moving consumer goods, the biggest absolute presence, and the markets allows us to have organizations and operations that can be leveraged. We have indeed the biggest presence, I'd call it native presence in the developing markets, which gives us also this front of -- important platform of growth, together with the emerging and middle class. We have also grown in the developed markets. Developed markets cannot be stressed enough how important that is to us. We always said, we're not going to hold back off on the emerging markets when we really got into trouble a few years ago. We embraced the opportunities. We looked for them. We've pooled the resources. We increased our brand support. And that has been showing up in 1% organic growth. The price was actually negative in the developed markets, in Europe specifically, quite dramatically. We have grown 1% organically. We have actually grown 1.5% real internal growth, volume growth, gaining market shares. Actually, in Europe, it was close to 2%, real internal growth that we had. So it cannot be stressed how actually proud, but also motivated we are by seeing growth and where we don't have the growth tailwinds. So and that is linked again with lots of innovation. And de facto, the developed world is sometimes, or in many instances, the gravel of innovation, renovation. Many concept that are brought in[ph] these countries are then rolled out worldwide, and we have quite a few example of that. So look, it is, again, this, and I come back to this chart. The alignment that it gives, the putting of resource behind the right things, the discipline over time that it gives cannot be stressed enough. And it allows Nestlé to be really uniquely positioned for the profitable growth in the future, for creating value in the future. And we continue our Nutrition, Health and Wellness journey. That is what guides us. That is what really motivates us. And we continue to building and constructing and positioning ourselves for future growth. And I have said before, 3 years ago, we had -- we are all about Nutrition, Health and Wellness. We have our food and beverage category. That is what Good Food, Good Life stands for. A few years ago, we extended the boundaries of nutrition with the creation of Nestlé Health Science, that is backed with the Nestlé Institute of Health Science. What we have done and communicated to you this week, with the creation of Nestlé Skin Health, is exactly the same direction. It is really extending the boundaries of health and wellness. And do that by bringing in Galderma and really going after specialized medical skin treatments. And do that, again, on the same premises that Nestlé has been driving growth in the past, in the future, and we'll do in the future. It is to be science-driven, R&D-driven, innovation, that you can have really building intrinsic differentiators into your portfolio, but that also creates value for consumers and by doing that also for society. We are all about enhancing the quality of life and that is what we are looking for. That is what that stands for. That is what we are also constructing for the future. Definitely, Nestlé Skin Health is a very strong profitable growth platform for the future, and we are happy that we're starting to expand in a meaningful area there, too. Now all these dimensions are behind delivering results, and the results are -- and to do that continuously. And the results have been there for so many years. And 2013 has just been one of these years that, in spite of all, has been an intrinsic building block again of what we call the Nestlé Model, which is, yes, indeed, in creating and delivering in a consistent way profitable growth, and to do that with a good mind on resource efficiency. And yes, we have a band of 5% to 6%, and that is what we delivered in the past. That is what we delivered and will deliver in the future. And last year was actually a very, very firm building block that allows us to do that over time. And I feel there, ladies and gentlemen, that we, for 2014, foresee a year that's going to have quite a lot of the same challenges. The developed world and the Europes of this world are not out of the woods yet, and they're going to have to have work -- to work hard to bring national growth back. But we are growing there. And also in spite of all, we're going to grow also in 2014. It's going to be in line with 2013. We see an acceleration of growth coming during the year, but we're going to again outperform the markets. It would be similar as 2013. We're going to do that with around 5% of organic growth and with a big improvement of margins, because also all the efforts that we have started to do so many years ago are continuously repeated each year. And we're going to have an underlying earnings per share in constant currencies and also capital efficiency. That's the model. That's what we delivered in the past. That's what we're going to deliver in the future, and 2014 is the first year of the future. Thank you very much, and we are open now for questions and answers.
Roddy Child-Villiers: Thank you, Paul. [Operator Instructions] But now, let's take the first question from the room.
Roddy Child-Villiers: Yes, [indiscernible]?
Unknown Attendee: Mr. Bulcke, I like your word premiumization. Does that mean if you have, for instance, Kit Kat, and you premiumize it, is it going to be the same price or is everything going to be a bit more expensive?
Paul Bulcke: I wouldn't express it like expensive. What we do with premiumization is creating more value. And it can be more expensive, if you see it like that, it's going to be still a good deal because you get more from it. So I mean -- but the Kit Kat success in Japan has not been because of premiumization and pricing. It has done by creative ideas of linking up Kit Kat, for example, with special moments of -- in the Japanese world's cool growing people. Kit Kat means actually good luck or something like that. So we have used the sound bite, that sounds like good luck. We have used that for students going and doing their exams. Well, we created the emotional links, that's premiumization, too. Premiumization is not only adding cost. It is seeing different angles, adding more value for the consumer. If that is linked with more cost, well, we may reflect it in the price, but that's not what I mean by premiumization per se. You see a cup of Nespresso. People say, "What else?" Because there is a relationship of value that people, they value what they get for it. And so -- and I must say that is the whole driver. If we build -- for example, if we build micronutrients, we add something. It doesn't per se cost something, but we add something. That is what I mean by premiumization. And sometimes, it is linked with, yes, indeed, higher price but not always.
Roddy Child-Villiers: Yes, Willie[ph] over there please?
Unknown Analyst: [indiscernible]. 2 questions from me. First of all, about expanding the boundaries of health, expanding the boundaries of nutrition. With Galderma, some commenters say that this is really out of your core business because it's really more in the business of pharmaceutical companies. So I'd like to know what is for you something beneath that new boundary? So for example, Novartis, as a good example, is -- wants to sell perhaps its OTC business. When that comes then people will say, okay, this is really out of our boundaries. You can tell it's knowledge business, it's enhancing the health of people. So because it's quite, well, unprecise that boundary, I would just like to know for you, where is the red line? Where do you say that this is something you won't go in? First question. And second question concerning the restructuring of your portfolio. There has been lots of action in the last couple of weeks. Will that continue at that pace in 2014? And or are we yet quite advanced, so just a little bit color on how far we are in that process? And just come back to in that question on L'Oreal. There's a remark that L'Oreal the participation is strategic but financial, so does that mean now after this transaction, you won't sell anymore stocks of L'Oreal in the next 12 months? Or just to have a clear answer on that.
Paul Bulcke: Well, first of all, the expanding the boundaries of -- we are about enhancing the quality of life. We want to say we want to be the Nutrition, Health and Wellness company. And we have focused on our food and beverage business, and we have broadened this whole Nutrition, Health and Wellness dimension through many areas, but 60/40+ -- I abuse the mindset we have there. But that is what brings it to really drive our nutritional arguments that bring health and wellness through food and beverages. That is what we are. That is what we were. That is what we're going to be also in the future, and that is what we embrace. Now we have said also with new science, new technologies, new needs in society, you have to see the opportunity of that -- of these trends, and that's why we have built a few -- 3 years ago, Nestlé Health Science. And why did we build it only 3 years ago and not 20, 100 years ago? Because the conditions were not there, society was not there. The healthcare system was not really starting some science or fatigue in the sense of how do you finance it all, how do you -- is corrective therapeutic health, is that the right equation for societies at large or can we start embracing more inducive health, which is by lifestyles, by having more knowledge about health and nutrition, by knowing also and using science to give and to make a relationship that were not possible to make in the past because the science was not there. And that is why we have set up Nestlé Health Science 3 years ago, because we felt the conditions were there, the need of society, the awareness of inducive health and how it can help to be a much more efficient and cost-efficient way of having healthy societies, is not to get sick, is to keep people healthy. And that is what we have been looking into that. That is what we are building. And that is linked with science, a lot of science that do have certain elements of, yes, maybe the healthcare sector because you're going about personalization, while then you have to have diagnostics. You have to have -- if you want to understand how nutrients interact with the human body, well, then you have to have other platforms that we were not so close to, we're bringing them closer, and it makes sense. And the same goes for the skin, and it is the biggest organ in the -- for people. And it is how you interact with society. It is how you feel quality of life. And there are medical conditions on the skin that are having, yes, indeed, there's some therapeutical dimensions that need a lot of deeper R&D, because Galderma is a very R&D-driven organization with a good part of their sales linked with R&D. It is clear that we, as a company, are increasingly, through these dimensions, through deepening our R&D, even in food and beverages, are -- is a company that starts to be more and more R&D-driven. And I see an upside there in the sense of knowledge gives answers. Answers give solutions. Solutions are valuable, profitable growth platforms. That is what we see in this whole extending the boundaries of Nutrition, Health and Wellness through Galderma, through Nestle health -- Skin Health. So it is, yes, indeed, looking behind the corner and see value coming in a society that is increasingly defining other needs. You see in the world, the skin and skin health coming up very, very prominently as one of the biggest growth drivers in that area. We want to be part of that. That is playing with the same equations of R&D, innovation, seeing a little bit further down the nose and seeing these platforms. There is a lot of compatibility, strategic compatibility there. Now on the portfolio restructuring, yes, we have intensified, I must say. Yes, we have brought discipline. We've got a portfolio tool, call it, this management tool, framing. We have created discipline behind it. And we have some more visible dimensions and expressions, and we have mentioned them, that they're creating to the outside world a much deeper intensity, and yes, we go quite intensive behind it. We have done that. I was [indiscernible] to a certain extent permanently. And I'll say SKU management per se is a very, very close -- action that is very close to portfolio management. It is portfolio management. We have been doing that. 2014, we keep on going. We always said we're going to maintain. This is not a one-shot tool that we once utilize, use, see what comes out and then, we park it. It's going to be intrinsically built into our business planning locally and globally. And it's going to be something that we're going to use then permanently and it's going to have the same consequence. We are testing each product in a defined geography. And we have defined 1,800 products, cells, we call it, which is a category in a market. We are testing them, 1,800 of them, and that is something that drives our decision-making, which is good category we invest, or we fix it or we divest. These are the 3 equations that came out, and that's going to be a permanent thing. Now you speak specifically about L'Oreal, it has been said and you see and the figures are out. I'm not going to get into the details of the specific deal. But we stay with 23.3% in L'Oreal. That is a sizable participation, so -- and it has been said very clearly. We are 40 years-plus linked with that company, and that is a very interesting financial, but also strategic participation we have there. And we have been a very loyal and very constructive partner in this company, and that is projected to continue like that.
Roddy Child-Villiers: Yes?
Unknown Attendee: [indiscernible] Could you just give us a bit more color on how the political turmoil in some emerging market countries, and turmoil in some emerging market currencies as well in the last weeks,, did or do affect your business?
Paul Bulcke: First of all, when you have a devaluation -- and we consolidate in Swiss francs, you have less Swiss francs, but that's an impact that we have. And we see so much of the color coming back then of periods, the famous periods in the 70s, 80s of certain continents like -- I was there, Latin America, inflation. And you see some of that coming back to a certain extent and you saw it. And there's lots of volatility and nervousness on currencies with the Turkish and the Brazilian and the Indian rupee, et cetera. So you see that it's[ph] coming back. Again, there, our -- how we handle that is so much linked with -- again, we are decentralized. We have basically our factories in every country, give-and-take 90%, 95% of what we sell locally is normally produced regionally or locally. So we have a certain natural hedge there on cost base in the sense of local raw materials that we have been -- et cetera. So that's the reality if you go local by local. When you add it all up, yes, indeed, you're consolidated less when you have some currency fluctuations now, but that's how it is. Last year, it was -- the foreign exchange had an impact of 3.7% negative, again, in consolidation. And it has some shifts, so it affects us in and margins sometimes. It depend on the mix and where it happens, but -- and last year, it was 20 basis points affecting our margin, if you would. That's why we have actually constant currency, 40 basis points-plus. But these are the impacts on consolidation. What we have to see, though, is the volatility and also the turmoil, as you mentioned it, politically, and how the drive of what we have been mentioning of the emerging markets are emerging, how that may soften, that emerging, and the middle-class in many countries that are starting and that we have embraced, the 1 billion emerging consumers that we have embraced, how fast that's going to continue, how solid that's going to be? But again, and that's why I've said also, that's our strength. We are present in all countries with operations, with local decision-makers that are aligned, but are adapting our offerings, are sensitive to what's happening in these countries. We can change and profile our portfolios and shift priorities, and that's how we react on these things. So I remember so well in Latin America, we had inflations. I lived in a country that had an inflation of 1,000% a month, but -- and we were there, and we were successful, and we were linking up consumers, and we were adapting. And that's what I mean by our geographic footprint, definitely, is I'd call it a competitive advantage. More of an adapted portfolio, not 1 product that is global, that is not adapted to. We have adapted portfolios and a combination of products, that's the strength that we have. So but we -- it's tough sometimes. I must say when our anchor factory in Syria last year, February, was it, was blown apart and is not operational. We had in that country, with 600, 700 people, that was an anchor factory, means a factory that was also serving a region. And in 1 day, it falls apart and we stayed until the factory was blown up, but we stayed. Many would leave. We stayed because we are local. We have people who are staying and rewiring, re-adapting, taking -- they're living in a very, very unhealthy environment, but they stayed. There are 600, 700 people, their livelihood depends on it, but it was blown. But these are setbacks that are very important. But then, again, there's rewiring, investing in compatible factories close by, that's how it is. I mean -- but if you add it all up, we have a little bit of what I have said, a natural hedge of diversity in portfolio and diversity in geographies, combined with fantastic people in the front lines.
Wan Ling Martello: The other thing, too, that Paul touched on, I know it's top of mind for a lot of investors, is you said that you've been in Latin America for so many years. We -- people forget, we are a company that's about to celebrate 150 years in a few years' times. We've been in this -- in many of these markets many, many years. We celebrated 90 years in Brazil a couple of years ago. And so we've been there, done that, got the t-shirt for it. So yes, is it an issue? Of course. But is this something that our people have dealt with? Absolutely. So we're not -- it's not -- we're not -- the sky is not falling, Rome is not burning, so we're going to be okay.
Paul Bulcke: It doesn't help though.
Roddy Child-Villiers: Let's take one more question from the room, Tom, before we take a question from the call.
Thomas Maurer: Thomas Maurer from Bloomberg News. Regarding your forecast for organic growth, where do you see -- or what's going to improve in the second half compared to the first half? And my second question is, in terms of mergers and acquisitions, what areas would be the most interesting?
Paul Bulcke: You're really curious there. No, on our organic growth, we just see certain comparative -- the comparative base, the dynamics of where we have programs, we have promotion, we have innovations, renovations, timelines. And when you add it up, our projection, internal projection for us is that we see it more geared towards we have to deliver good growth in the first half, too, but we see it with more momentum because of actions, because of comparators. And again, it is an accumulation of all these different geographies and initiatives that gives us that impression and we want to be aligned there. That's why.
Thomas Maurer: Is it more value-driven or more price-driven?
Paul Bulcke: Well, the pricing is very soft, we have said that. And that's why the 4.6% that we have last year is basically because there was no pricing need. And although, if you see, our raw material baskets were still something that went up because we have down coffee and all that, but we have milk that went up. So and if you add it all up, but much less down. And in certain region, we have negative pricing, which was translating the needs of the consumer and the sensitivity to that and the dynamics of the markets like in Europe was negative. So it was low, and we may see some momentum coming back there, too, and that helps and we don't see it coming now. We see it coming in the latter part of the year. So it is a combination again of all that, but pricing is part of it, yes. On M&A, look, again, M&A is something that is part of our equation and tools that we have and dimensions that we use to grow, and to prepare or to invest in profitable growth platforms. And look, we have always said we have these dimensional bolt-on that we're always going to be looking for. Again, we are present in the world. And in the world, you have many, many smaller and bigger opportunities. And the small ones are as important as the big ones. So -- and more to that, I cannot say and I will not say, but at this part of our growth dimension. But I am privileged, definitely, the internal growth of this company because we are present in all these categories. We have all these initiatives going on. We have already expressed a new platform of growth that brings in a world leader already, so it is for us to grow these platforms internally, but with an eye for possibilities outside, too.
Roddy Child-Villiers: Thanks, Paul. Now we will take a question from the conference call. We have Celine Pannuti of JPMorgan. Please go ahead.
Celine A.H. Pannuti - JP Morgan Chase & Co, Research Division: Yes. My first question, it's to rebound on the pricing commentary. Wan Ling, you said that talking about Asia, there was a deflationary environment. And can we -- can you -- and I know it's going to be difficult too maybe on a global basis, but can we have a bit of a feel for what the pricing environment is? And maybe to be -- can we differentiate between Europe, North America and certain parts of -- and either part of emerging market? And I would say also in the light of the raw material -- sorry, the FX deflation that you see -- sorry, the FX weaknesses that you have seen in these countries, how quickly you think you can absorb that? And my second question would be on -- sorry to come back on the Galderma question, but 60% of what they do is prescription drug and does that mean that you are comfortable with acquiring these kind of businesses?
Wan Ling Martello: Yes, thank you, Celine. Let me -- in terms of pricing, we've always said this, right. It's -- pricing is something that's taken locally. We do not sit here in Vevey and sort of dictate what pricing action needs to be taken. And depending on categories, depending on geographies, it very much vary. And you see the dichotomy, especially at H1 last year, where -- so we had pricing. We were able to take pricing in Latin America because of the currency situation, even though the underlying raw material cost went down. And so if you're specifically interested in pricing in Asia, I can ask Nandu to give you a better -- some color.
Celine A.H. Pannuti - JP Morgan Chase & Co, Research Division: Not specifically pricing in Asia but overall, your ability to talk pricing in the current economic environment. And I would say many region of the world where you operate are seeing lower currencies, and whether you have the ability to pass on higher prices?
Doreswamy Nandkishore: Celine, let me take this question. I think Wan Ling's answer was pretty accurate. And indeed, in the specifics of what you're referring to, over the last 10 to 12 weeks, we have seen a lot of currency devaluations across Asian markets and Middle Eastern markets. We have seen also, at the same time, a lot of cost inflation, specifically in milk solids. So both of these, indeed, put cost pressures. The amount of the pressure is different market-to-market. And depending on the competitive situation, the decision on how to increase prices, how to manage price points, how to make sure that the consumer shock is minimized and we keep the underlying growth momentum, is a case-to-case decision market-by-market. I can confirm that across many of our markets in Asia and the Middle East, we have, indeed, taken price increases where relevant and where required.
Celine A.H. Pannuti - JP Morgan Chase & Co, Research Division: All right. And in developed markets?
Paul Bulcke: What markets, sorry?
Wan Ling Martello: The developed?
Celine A.H. Pannuti - JP Morgan Chase & Co, Research Division: In developed market, because I think there were some price cuts last year. Are we -- is that something that will remain for 2014?
Wan Ling Martello: Yes. I mean if you look at developed market, you look at Europe, it's actually -- we see that it's a deflationary environment and there is not going to be -- you saw in 2013, there was negative pricing, and we anticipate the same thing going into 2014. Now U.S. might not be as severe as Europe. But its pricing is not going to be easy in a very -- in a deflationary environment.
Paul Bulcke: And then on Galderma. The Nestlé Skin Health is a platform, is a company that's going to provide the portfolio of science-based innovative products that meet the full spectrum of people's skin health needs over the course of their lives. And if you define it like that, and there is, indeed, quite an important part of that business that is done by prescription. We don't have a strategy that says, we want to stay out of prescription. Prescription as a platform is a way of getting to serve some specific needs that need some professional systems, and that's what prescription is about. Well, actually, it is the best expression of some proprietary, more deeper science-driven and science-based innovation potential. So the same thing is going to happen with Nestlé Health Science, where we're going to have a prescription dimension or a channel. So that is again, the best expression of we are an and[ph] company. And it is, yes, indeed, brings complexity, yet at the same time, I have the fortune not to have to handle it all myself. So you have specialists doing that, and they know what they do and we embrace these channels and we embrace these ways of connecting with consumers. Somebody who has to have a prescription treatment for his skin is a consumer, and we want to be part of enhancing the quality of his life, so I see that totally compatible with the science-driven, R&D-driven management of this company.
Roddy Child-Villiers: We have another question from the call, Alain Oberhuber, MainFirst.
Alain-Sebastian Oberhuber - MainFirst Bank AG, Research Division: I have 2 questions. The first question is about again the organic growth. Probably, you could give us a little bit more why it's geared into the second half, because keeping the base effect. Is it because we currently see more competition or is it because your product innovation will be geared more to the second half? The second question is about Waters. Could you give us a little bit more information about the development of Waters in North America, in particular about the local brands and the premium products, what was the development? And also, if these products had margin improvement as well?
Paul Bulcke: Organic growth in the second half?
Wan Ling Martello: I mean, you're exactly right. Well, a couple of things. There are a couple of dynamics going on beyond just -- if you look at the quarterly split, our expectation is there is some shift in terms of Easter in Q1. In terms of product launches, we are anticipating some product launches that will sort of like pick up pace in H2, but in terms of Waters, you want, Marco?
Paul Bulcke: I would say -- Marco, here is take up there. But water, again, and there was[ph] -- North America specifically, there is indeed a price war going on. And you can[ph] engage in price wars. And sometimes, you have to be price-sensitive, but you don't jump in a price cliff. And so we didn't engage there. And it has affected us, it kept our margins, I would say. But Marco, yes, specifically, on the specific local brands, too. It's a ...
Marco Settembri: Yes, you answered already the question. In reality, the second part of the question was about the premium brand, the international brands. Perrier and San Pellegrino are doing extremely well in the United States. So the development of these 2 brands in the United States has been extremely good, double-digit growth, so that's a very good element of the improvement that we have in North America. In terms of regional brands, it's exactly what Paul is commenting here. So we look for profitable growth, so when there is a situation in which there is a real price war, we try to keep market share or to have a profitable growth in order not to lose market share, but we don't just seek growth for that. And then the situation of the market is also is growing, but not growing at the level that was growing in the past.
Roddy Child-Villiers: Thank you, Marco. We have a question by e-mail from [indiscernible] CNBC Africa and Lagos. What is your growth targets of your business in West Africa, and are you considering expanding your West Africa product portfolio to skin care?
Paul Bulcke: Well, it looks, Nandu, you're quite requested today. But let me first say on this, skin care and all. Galderma has presence in 70 countries and has 5,000 collaborators, employees all over the world. So they have already worldwide presence. Now I have to see how specific they are there. They must be -- if there is a market, they must be there, but we have to see a little bit later on. But that's not the highest priority, I would say, now there. And are we growing in West Africa? It's a fantastic, good region. I don't know if you want to give some more color, Nandu. But it is clear that West Africa, we have a very, very deep footprint there. We have factories. And we are in -- in Ghana, we have actually our shared service center in Ghana, serving the whole region, actually, extending to the whole of Africa over time. So we have -- and very, many, many, many years there. We have fantastic management team over there. I remember when Ivory Coast was the trouble and all, how we had the right people there in place to really rewire the whole business. So I think we definitely are in there for growth together with the countries. Other questions?
Roddy Child-Villiers: Excuse me, sorry, John?
John Revill: John Revill, Wall Street Journal. A couple of questions. I like to get a bit more sort of color on your portfolio review in terms of how far are you through it, and how many more divestments or sales do you expect? And then linked to that, what's the plan that you're going to do with the money from it? You got some money from the L'Oreal sale, and then also you said you're going to have a buy back, so is the buyback going to be limited purely to the cash from the L'Oreal sale or more, and when would that be?
Wan Ling Martello: Yes. John. In terms of portfolio management, I want to, first of all, take a step back. It's not just about divestiture. It's also about where to accelerate. It's important to be doing both. And so when people think about portfolio management, the first thing they always think about is, "Oh, you're going to sell more," but it's -- what we've done last year is not only walking away from businesses that we are no longer the best owner for it, but also to accelerate investment behind products or categories or geographies where we can win and we can really win, do much better than others. So the other thing also when we look at portfolio management with the leadership in our strategic business unit, it's not just looking at businesses as a whole but even within those -- that business. And so it's looking at how can we -- resource allocation, CapEx, it's R&D, it's people resources. So it's back to 1 of the 6 priorities that Paul had outlined last year -- or 2 years ago in making choices. So that's -- so it's the -- it's a broader context and not just saying we're divesting. So that's -- so it's an ongoing thing. And it's something that needs to be and has been embraced by our market, our people in the frontline, people who run a category in a certain market. So it's not us sitting here or the executive board dictating which -- where we need to sell and et cetera. So in terms of cash, we had in our press release on -- the Galderma transaction indicated that it's our intent to -- with the cash proceeds from this transaction, it's our intent to launch a share buyback program. We have not obviously communicated the specifics in terms of how much and when. We'll wait to see when the transaction closes and we'll come out with an announcement then.
Roddy Child-Villiers: Yes, another question from the floor, please?
Unknown Attendee: [indiscernible] from Swiss newspaper Blick[ph] [indiscernible]. I have got a question concerning the outcome of the Swiss vote on Sunday. What consequences do you expect for Nestlé?
Paul Bulcke: Well, Nestle is a company that is worldwide present and actually do under 2% of our activities in Switzerland. So we have here in this headquarter quite a lot of foreigners, and so -- but that's the vote of the people. We have to respect that. So we're going to see -- and I'm confident that they are going to translate that in a workable framing, legal framing. We have to see, but it is indeed a dimension that creates, for the time being, uncertainty. And we are looking for -- to the evolution of that pretty closely, but that's what I can say. We respect the vote, but it has created some uncertainty and I would invite to neutralize that uncertainty as soon as possible, and I hope it's going to be wisely.
Roddy Child-Villiers: Next, Paul, we have another question from the call, Jon Cox of Kepler.
Jon Cox - Kepler Cheuvreux, Research Division: Now just following up from John Revill's question. You seem to have indicated you don't really want to go back to a AAA credit rating. And you've said -- and that seems to have indicated that you don't really need net debt to go below 1x EBITDA. Obviously, net debt now is at below CHF 15 billion. EBITDA is around CHF 18 billion on 2013. I think some people are probably scratching their heads, wondering why you didn't announce sort of buyback today, particularly after you've raised CHF 3 billion notes[ph] from the L'Oreal disposal. I wonder if you could just give us some sort of clarity on that. Is it because you want to go back to a AAA credit rating? Or is it because you want to keep hold of that cash because you see M&A? Or should we expect buybacks in the future, as you've indicated? That is the first question. Now the second question, just on the organic sales growth. And I understand what you're saying, but it seems, actually, organic sales growth accelerated in Q4, the emerging market sales actually accelerated in Q4. I'm just still not sure why you think you'll be weighted towards H2, given the comparable base in emerging markets and your organic sales growth is actually getting a bit tougher. And I'm just wondering why you've been somewhat subdued in your outlook, saying it would be similar to 2013, given the fact you are seeing this acceleration in Q4.
Paul Bulcke: The first question, "Do you want the money now?" You have to first have it. So we announced the deal, we don't have the money, and so -- but maybe you can, on the two-play[ph] ...
Wan Ling Martello: No, Jon, we are not going back to the AAA. We're very happy and very proud that we're the only one in our peer group company that's in a AA rating. And so that's something we're very proud of, but no intention of going back to the AAA. And no, we will be announcing something on the share buyback. We realized -- we're very proud of what the organization has been able to do in terms of the cash flow performance from 2013. So like Paul said, you want the -- people who want the money now will just have to wait a little longer, but we'll announce it soon.
Paul Bulcke: And that's also why we have announced it, obviously. We have expressed the intent to have a buyback later on, and that is just showing that we're sensitive to the asks of our investors. And so I think we have always been very mindful and respectful to our shareholders, and we'll maintain that relationship of respect. So -- but it's good to have your feedback on this, that there is some urgency. On the organic growth, as I said, yes, indeed, we saw some acceleration coming at the end of the year. They're still in proportion. It is volume driven. So it's good to feel that RIG is having strength. But we do still have plans. We do have innovations. We do have launches. We do have also comparative basis and see the dynamics of the different paces of the different geographies in the world. We pull them together, and that's what we call a dynamic forecast, and that gives us a more pronounced -- it's not dramatically but a more pronounced growth dynamics in the latter part of the year. That's why. So we're speaking -- we don't speak but -- from minus to plus, but we speak from softer to stronger. That -- and that is linked with many dimensions that are linked with our operations and the launches, et cetera.
Roddy Child-Villiers: Thanks, Paul. We have another question from the room, this gentleman over here.
Unknown Attendee: I'm Yoshiguru [ph] from Yomiuri Shimbun, Japanese newspaper. My question is -- was the same as -- it was relating to the -- last Sunday's vote on mass immigration, then it is a follow-up, that you talked about uncertainty created by this decision, by this result. If this uncertainty continue without being solved, do you think that it is having a important impact on the decision of investment of Nestlé here in Switzerland?
Paul Bulcke: Well, these are hypotheses. Again, you have to see how they're going to translate that vote into a law and how that then may affect. And it's clear that we are setting up a new factory of -- in Romont for Nespresso. We projected 350 people. Well, okay, we -- are we going to find them? Is it going to be -- we have people coming in from -- coming in here to help shape and to gain experience here, permits, but these are only all speculation from my side. So I respect the vote. It shows something underlying and worries of the society. You have to respect that. You have to actually read, what does it mean, this vote. And how do you translate it? But that's the uncertainty we have now. Look, it's not the first time we live in uncertainty, but I would like to see that land at a -- pretty fast. It's not only that, there is also, what is Europe going to do? That's part of the uncertainty. And we have said, more than half of the production of these -- all these factories of Nestlé here in Switzerland, creating all in all, over 10,000, 11,000, 12,000 jobs, all -- or half that is exported. And the biggest export market for quite a lot of these categories is Europe now. And Europe is linking free flow of people and goods, so they're like in the same line. So that's the uncertainty I speak about, but I -- as I said too, I'm confident we're going to be wise.
Roddy Child-Villiers: Thanks. We have another question from the call, Dieter Bachmann of Basler Zeitung.
Dieter Bachmann: I have a question concerning the change in the board. I mean you have stated that you remain -- will remain committed to L'Oreal. Does this mean that you will continue the cross-involvement by replacing Mr. Meyers with somebody else from the L'Oreal or the Meyers-Bettencourt family?
Paul Bulcke: No, what we have communicated is that Jean-Pierre Meyers is leaving our board. We didn't say more than that, so...
Dieter Bachmann: Yes, that's what -- that's why I'm asking whether there will be a replacement from somebody else coming from L'Oreal or the family.
Paul Bulcke: Well, we said what we said because we didn't want to give an answer to your question. But it is what it is and what you read. And Jean-Pierre Meyers, who has been a very constructive part -- board member of Nestlé, is leaving now many, many years the board of Nestlé.
Dieter Bachmann: Did he give any reason for that?
Paul Bulcke: Well, there's actually many reasons. First of all, he has been involved for many years. And governance is dictating also limits of age, of number of years, et cetera. And so it's also a decision he has taken.
Roddy Child-Villiers: Thank you. We have another question by email from -- again from Lagos asking about the prospects for the region in 2014 in the context of consumers' buying power, which is expected to drop.
Paul Bulcke: Okay, Africa. You're really -- because it's nice to see so many question from Africa. I say hello to Africa.
Doreswamy Nandkishore: Thank you, Paul. Look, in 2013, as Wan Ling mentioned earlier, Africa had excellent double-digit growth, so also the Middle East. So we see in the foreseeable future Africa continuing to grow and continuing to be an important growth engine for us. We continue to invest. What you say about purchasing power and inflation is very true, but this is not new, these are conditions we have faced before. We have overcome these conditions and we hope to do so again as we go forward. We do not make specific forecasts by region, as you know. The only forecasts we make are corporate, which were made by our CEO already.
Paul Bulcke: Thank you, Nandu.
Roddy Child-Villiers: Thank you. and we have another question from the call, Irene Ho from Morgan Stanley.
Irene Ho: Paul and Wan Ling, a couple of questions from me. The first one is on nutrition. In terms of the acceleration in the fourth quarter, almost 13%, how much of this was driven by Jenny Craig no longer being a drag, as well as your performance in China? Can you just update us on trends in China specifically? I understand you introduced new SKUs at higher price points. And can you also tell us what Wyeth's organic growth was in the quarter? And then secondly, in terms of the U.S. business, I mean, clearly, the whole packaged food space has been under pressure for some time and there appears to be no improvement despite macro indicators getting slightly better, and you're seeing this particularly in your frozen business. Could you give us your view on what you think is driving this weakness? Is it the economy? Or is it a somewhat structural shift towards healthy/natural foods? And if so, do you think you have the right portfolio in the U.S. to address this shift? And what are your plans to improve category growth?
Paul Bulcke: Irene, I tried to formulate the question because we didn't have a good hearing here of your question. But the first question was, nutrition has shown an acceleration of organic growth in the latter part of the year, in the last months, is that also because Jenny Craig went out or -- and was it also because Wyeth came in? And what is the organic growth of Wyeth? First of all, we don't give all the details on the organic growth of individual parts of it, but it is clear that Jenny Craig not being in the comparative base is helping there. But it is specifically the strong growth of our Infant Nutrition business worldwide. And in specific areas, even more, that is coming more true because they didn't have this dimension that was dragging them a little bit down. So the figures are really coming out. I don't know comparative to some competitors. And I don't give -- we don't normally give the figures specifically on each of the underlying parts of the business. And I think we can go to the U.S.A. U.S.A. frozen food, it's like not getting the colors back in the category of frozen food. In general, what are we doing? There are different trends, but maybe you, Chris, can...
Chris Johnson: Well if we speak of the U.S. overall, and Wan Ling talked about it earlier, and Irene, also you mentioned, I mean the overall environment there is challenging. Demand is subdued. And if we look at our portfolio in the U.S., we were fortunate last year as well as this year to grow both real internal growth and organic growth because of the breadth of the portfolio we have. Wan Ling first mentioned about PetCare, which is the largest single category that we have there, again through good innovation in a number of areas, gaining good share in cat food and litter as well. The second biggest area in the U.S. is the one you alluded to, which is frozen food. And there, we participate in 4 segments. And each of those segments have different dynamics. We can say overall that frozen food is subdued as a category. But starting with the biggest one that we participate in, which was in frozen pizza, which we, as you know, acquired from Kraft in 2010, saw this year actually an improvement. The category last year had declined -- or 2 years ago, it declined like around 4%. This last year was fairly stable. We were able to actually grow share, as we've mentioned earlier, in DiGiorno's and JACK'S. If you look at -- the second biggest area is Stouffer's, the frozen prepared meals. There, we grew share. We grew both in volume and value. And there, we did it through good value, good products in this particular segment. Hot Pockets was mentioned earlier. Snacks as a category is growing, we also grew in that category. And there, we did it actually by rationalizing SKUs. I think we cut out around 50% of the SKUs in that category and still grew. The challenge is the fourth one, and that is in Lean Cuisine, where both that segment and our participation in that segment, our share and our volume, actually declined. And there, we're taking a number of actions to deal with that. One is, and we started last year, making sure we have the price-value relationship correct in this segment. We're also addressing this segment through a lot of innovation. Innovation, for example, last year, we had kicked off with the Salad Additions, which is value-added components to salad. This year, we're complementing that with Wrap Additions. Also, getting into the breakfast category, another segment that Lean Cuisine has not participated in, and a segment of frozen that is growing. And last year also, we participated and started to participate in this more natural segment with Honestly Good, which we're continuing now to roll out. It's still early days, but this is the way that we're also looking at that particular growth area in frozen. So again, just to follow up then on the U.S., if you looked at -- we talked water, we had growth in water. We had growth in nutrition, if you factor out Jenny Craig. Good growth in coffee, Coffee-Mate, Nesquik. And confectionery, as we've mentioned earlier, also showed some good promise. So overall, to summarize, difficult environment in the U.S. We don't see this necessarily changing as we move ahead, but our opportunity to grow even in these difficult environments, I think we have the opportunity to do.
Paul Bulcke: Thank you, Chris. Do you want to say, Wan Ling?
Wan Ling Martello: Let me go back, Irene, your question about you're trying to get some more color in terms of nutrition growth. Paul is exactly right. We do not provide the breakdowns, but I just want to share with you that, the Jenny Craig, the stub period where by the time we sold Jenny Craig, the impact -- the -- is not material on nutrition's performance. And equally, for Wyeth Nutrition, remember, we only started to consolidate the -- to have an impact on organic growth starting only in December. So, yes.
Roddy Child-Villiers: Thanks. We have another question from the call, Warren Ackerman of Société Générale.
Warren Ackerman - Societe Generale Cross Asset Research: Wan Ling, Paul, it's Warren Ackerman here at Soc Gen. I've also got 2 questions. The first one is for Paul and it's just going back to the Nestlé Model. I mean, obviously, the Nestlé Model is 5% to 6% organic growth, but you've guided to around 5% for the last 2 years. So I'm just kind of wondering whether 5% is a new Nestlé model. And I'm looking at my own model of Nestlé and I can't remember 2 consecutive years, even going back more than a decade, where growth could be lower than the Nestlé Model. That's the first question. And then secondly, could you talk about the competitive environment in coffee, specifically pricing, where we've been seeing a decelerating trend? What are you seeing in single-serve coffee following the Mondelez launch in Europe? And what was the Nespresso growth in 2013? And did you add the CHF 500 million to the revenue base that you usually target?
Paul Bulcke: Well, first of all, the Nestlé Model. And you didn't find 2 years in a row in the last 10 years. We didn't ever have, of course[ph] , a situation and a environment like this in the last 10, 20 years either. So you have to -- we can all dream. You have to be realistic. And there is no pricing need. We're not going to price where we're getting to levels off[ph] . The model is something over time. I say that over and over again. It is a band that we want to walk in over time. In the last 10 years, we did 6.1% and nobody came and say, "Oh, you didn't do it right. You went over the 6%." So -- and it was an average of 6.1%. So -- and that's the model. It is to go and aim and gear the organization, go for the growth platforms, invest in where you have to, to allow -- to have the 5% to 6% happen over time, with a huge sense of reality, and that's the Nestlé Model, and to do that holistically, the end[ph] company. It is top line and margin improvement, and that combination is the strength. And to do that efficiently in resources, resource efficiency. Actually, it is what the company should do over time. It is to go for profitable growth and do that resource efficiently. And that's a 5% to 6% because we felt that, worldwide perspective of time, over time, the world is going to grow 3%, 4%. We want to have accretive value on that normal growth because we are a worldwide company, so you're flourishing and going with an environment, but we want to outperform that environment and that's how we get to 5% to 6%. That's the model over time. And I feel 2013 was exactly that. Considering the environment, considering the soft pricing needs and intensity, that is what comes out. That is what allows us to construct the Nestlé Model over time. That is what we did. That's why I feel last year was exactly a good year, in line with the Nestlé Model over time. And this year, these colors are the same. We're going to do whatever it takes, and that's why we say we're going to grow around 5%. It would not be realistic to push an organization like this, I would say, unhealthily[ph] to just be in a range when the pricing or whatever is not there. So that's the health. That's, I feel, also the guiding health of the Nestlé Model. It guides you. And then you have expectations, but it guides also an organization to reality. It's a challenging reality that we want to create for ourselves over time. It is a challenge. It is a target. It is something we work for. It is guiding. And it is something that we do. We have a good sense of reality. And also, relative to the market, outperforming. So -- and without jeopardizing this new future. You can always forge a new future. We do maintain long-term perspective on things. We are investing heavily, pushing something back on our margins. We are investing heavily for things we're going to enjoy in 5, 10, 20 years time, like people did before us and that we are having now that enables us to do that. That's the Nestlé Model. It is a band, it is a focus on a possibility of 5% to 6% growth with a permanent margin increase. Now why permanent margin increase? Because we are getting more and more added value, more research-based, more argument-based. And a more volatile environment needs more return. That's also a logical thing. So I'm really confident. And I'm very -- I'm not at ease. We are very intense. But I am very, honestly, relaxed into the nervousness of getting to 5% or 5.5%, average. Actually, we have done 6.1% over the last 10 years. And then the coffee environment, the Mondelez, Nespresso portion coffee. It's a fantastic market. I may give that to Patrice Bula, who has a global view on these things. It's a fantastic, fantastic dynamic market, I must say. So Patrice?
Patrice Bula: I think you have said it. Coffee is probably the -- one of the category where we operate in, and in the food industry, that has been the more dynamic, creative, innovating and premiumizing over the last 10 years. And of course, we are very, very proud to be in the forefront of this through Nespresso, which is now 25 years old, but also Nescafé Dolce Gusto, but also in soluble coffee. So to paint the picture, coffee is a buoyant, growing and premiumizing category in all dimension of the depths of these categories. To start with soluble coffee, we have seen and we have had, we have talked about success of Japan, but also in some European market. In a difficult environment where we have had price pressure on coffee, we have been able also to premiumize with new technology, a product called Azera in the U.K. and kumi bizen [ph] in Japan, and getting growth through better cup of coffee and bringing people there. We have also developed specialities product, cappuccino and so. And you will see in 2014 even more innovation to continue to drive this very, very dynamic category. Capsule coffee is, of course, where it's been the more visible part of this premiumization of coffee. You have talked briefly about Mondelez. We don't want to comment about competitor, but just to give you an idea: Today, we have more than 130 system competing in capsule coffee, of which 90 do claim to be compatible with Nespresso. So I would just say Mondelez is one of it. And while this is a reality, it's a reality that has stimulated Nespresso. We have grown strongly. Last year, we have grown in proportion in Swiss franc at the same level as before. We have opened new market. We have opened 48 new boutiques. We have opened new distribution channel. So we continue to compete on our unique business model of unique blends, unique distributions channel, unique machines and outstanding services. So some of these 90 big[ph] companies and brands will fight on the shelf of a supermarket. We are in direct relationship with our consumer. And I have to say that all of them are seem to be extremely satisfied with us. So look out for more growth. This is a category, and the capsule coffee will continue to grow. I will say also that, if you have seen results of some important brand launching also system in the U.S., so you will see that it's not so easy to succeed. It's not easy to succeed. You can have a brand, but you need also the technology and the system. We are leading in there. We have an extraordinary program in R&D to continue to deliver better products, system and services to the clients.
Paul Bulcke: Thank you, Patrice.
Wan Ling Martello: The -- yes. The other thing that Warren asked: Warren, credit to you for not asking the growth rate of Nespresso because you know very well, 2 years ago, we stopped doing that. But to your question about, did we -- did Nespresso deliver against our commitment a few years ago for growing the business at CHF 0.5 billion a year, we are very much on track. So...
Roddy Child-Villiers: Okay. We have another question from the call, Robert Waldschmidt of Merrill Lynch.
Robert Waldschmidt - BofA Merrill Lynch, Research Division: Two questions. One, you mentioned pension efficiencies as a source of gain this year. If we look at the footnotes in the annual report there, it looks like the service costs have gone down. And in particular, I'm just wondering if you could give some more clarity about that boost to your earnings this year. And then secondly, when we think about the growth, I mean in terms of second-half weighted, you've clearly given some reasons on that. If we just take the first half versus the second half, I mean, clearly, with lower comparators in the first half and then normalizing out Easter, it would still seem to imply that you're expecting some further slowdown in markets. And I'm wondering if you could call out which markets in particular you might be expecting to slow down, given -- if you -- it sounds like you're expecting similar growth trends in the U.S. and Europe?
Wan Ling Martello: The pension?
Paul Bulcke: Yes, you can answer the pension.
Wan Ling Martello: Yes. Robert, on -- and you can actually see it on the financial statements that we released today, this morning, you will see, and in terms of pension, there are actually 2 components. There is the Swiss in the -- the Swiss pension plan where we switched it from defined benefit to defined contribution. We also had a onetime benefit in terms of the U.S. medical plans. So that's what's driving it. And you'll see -- you can catch all the details in our financial statements that were released this morning.
Paul Bulcke: So it's definitely a change from one plan to another that has reduced the liabilities. That's why. On growth, I -- you referred to the fact, Robert, that I have explained already why and all that. I -- do we see a further slowdown? I mean I see more stabilizing on growth. Europe is not getting better, it doesn't get colors back very fast, starts to smell like deflation, where you have to see what's happening there. I hope it doesn't go in that spiral. North America, that we always said, is rebouncing faster back. It doesn't do that this time. It is way too structural, way too profound a problem to have a very fast turnaround there. The emerging market is growing slower. I think they got to a pace that is possible to maintain. I speak in general, country-by-country can be different. We see some headwinds in certain countries of Latin America, but also in Asia. You saw the projections, again, of China, 7-plus percent is that we're going to see. But we don't see Africa slowing down, but it's going to be different in different areas. So I don't see our comment coming from a feeling that the world is going to slow down in the second half of the year. No, definitely not. It is more the combination of pricing needs that's -- and then inflation in certain countries that are going to go for pricing needs in the latter part of the year. And so -- and a combination of launches and marketing plans that are going to get on stream in the latter part. So basically, that's the combination of factors that induces us to say more geared to the latter part of the -- of 2014.
Roddy Child-Villiers: Thanks, Paul. We have one last caller, Patrik Schwendimann of Zurcher Kantonalbank.
Patrik Schwendimann - Zurcher Kantonalbank AG, Research Division: Paul, Wan Ling, what's your best guess expectation for input costs for 2014? That's my first question. And secondly, regarding the confectionery margin, it was down 100 basis points last year. You were mentioning increased marketing investments. What should we expect here for the future for the confectionery margin, some margin improvement from this lower level?
Paul Bulcke: On raw materials, do you want to?
Wan Ling Martello: Yes. Patrik, it's -- on raw material, our guidance is low-single digit, so for 2014.
Paul Bulcke: On confectionery, your question, just to make sure that I have the right question, you said that the margin went down?
Patrik Schwendimann - Zurcher Kantonalbank AG, Research Division: 100 basis points last year, in 2013. And you were mentioning increased marketing investments. So what should we expect here for the future? Any more pressure coming from marketing investments, or shall we expect some margin improvement from this lower level now?
Wan Ling Martello: Yes. We should be -- I mean, in 2013, a big part of it was in Brazil where we were investing in marketing, especially ahead of -- I'm not a sports person, so it's the World Cup? And so that should obviously not be repeated in 2014. We had prepaid spended. That's obviously for this year.
Paul Bulcke: But again, there, it's a combination of things. First of all, this was indeed a heavy marketing spend, specifically Brazil. But also, cocoa prices went up. So -- and there again, the dynamics of pricing, costing efforts and marketing plans. The fact is the confectionery has -- in the last year, has been driving up its margin dramatically in the last years. And this is not a setback. That's a reflection of investment, which is a reflection of trust in the category.
Roddy Child-Villiers: Okay. Thanks, Paul. We have time for a last -- sorry, Patrik? Okay, we have a last -- time for the last question from the room. Nathalie, please? Thanks.
Nathalie Olof-Ors: Nathalie Olof-Ors from the AFP. Two question. Want to come back on the immigration vote. I think you've got over 90 nationalities represented here in Switzerland. Could you let us know how the immigration for -- the quotas are going to affect your recruitment policy here? And second questions, in emerging markets, some of your competitors have mentioned a rebound during the third -- the fourth quarter. Could you give us an indication of how emerging markets have performed with Nestlé and whether the competitive environment is getting tougher in these regions?
Paul Bulcke: On the rebound on the emerging markets, I must say, first, what you saw was quite a -- and we were very early on to see that. You may remember, in 2012, in the 9-month result, we really felt the emerging markets slowed down a little bit. It looks like we are a very good barometer. Before others, we were talking about that. We really felt that. And what you saw then is like a pendulum, over and it's comes back, but it's not vigorous growth going back to the -- we get used to positive things so easily there, we got high growth rates. I was the first to say too that, a country that is growing 15% year-after-year, there is always -- the engine overheats. And why? Because, first of all, it's growth on growth, and -- but also social structures, the mindset. The fabric of the country doesn't -- cannot fall 15%. So it is -- and there's -- and many markets are going back to normal, what I say, sustainable growth levels. And we see that combined with some crises, be it political, social political, in certain areas that affect. Again, it's a basket of things. What you saw, though, is an overreaction of slowing. And there is some confidence coming back in certain emerging markets. So that could give some, I would say, better figures coming in, not on the same level as it was but better than we will do stayed on [ph]. Your second question was immigration, again I mean it looks to be it is -- it was last Sunday, that's why we're asking. But we are indeed 90 nationalities, and -- but we don't from here going to the countries and taking people in. It's people working in operation in Nestlé somewhere who come here, who had their experience and who then go back to the market [ph]. And so we have a flux of people. Just like me, I'm an immigrant, so ask all the question. Maybe next year, I'm not here, so -- but you understand so. And that's why I said, considering the dynamics we have, hundreds of people -- Peter, how many per year? It must be hundreds and hundreds of people going in and coming in and going back into the markets. And we have factories with quite a lot of people who are coming in from other -- over the border to work in our factories too, I must say. So we're going to see how that sorts out. But I'm -- look, if -- I trust in the wisdom and the wisdom of the Swiss people to see through the short term and see what is at stake here, also in the votes, what they're -- whatever they're going to do in the future, the votes that they see, what is a -- what is our stakes, that they see the underlying interrelationships of things also and the recommendation that they're going to have now to set up on this that they see, and to do that wisely so that we don't actually break something that has gone so well for this country. But I'm really confident that's going to be the case. So it's actually a good note to say I'm confident on many things. And I think, with that, we basically -- then, I want to thank you all for -- first of all, for your presence, also for listening in and seeing in, for your questions. And yes, indeed, 2013 was not an easy one, but the bigger the challenge, the greater the glory. But 2014 is not going to be easy either, but again, I feel we have invested in the right things. We have focused on the right things. We have defined the right things. And we have understood the challenges ahead, and I think we're going to answer them. So once again, thank you very much. And well, all of you, have a good year. Thank you very much.
Roddy Child-Villiers: Thank you, Paul. As usual, we are happy to take any follow-up questions via e-mail or Twitter. I'm sure you know the addresses. Thank you very much.